Operator: Greetings and welcome to voxeljet AG Fourth Quarter Full Year 2018 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I would like to turn the conference over to your host Mr. Johannes Pesch, Director, of IR and Business Development. Thank you. You may begin.
Johannes Pesch: Thank you, operator, and good morning, everyone. With me today are Dr. Ingo Ederer, voxeljet's Chief Executive Officer; and Rudi Franz, voxeljet's Chief Financial Officer. Yesterday, after the market closed, voxeljet issued a press release announcing its fourth quarter and full-year financial results for the period ended December 31, 2018. The release, as well as the accompanying presentation for this conference call is available in the Investor Relations section of the company's website at voxeljet.com. During our call, we may make certain forward-looking statements about the company's performance. Such forward-looking statements are not guarantees of future performance and therefore, one should not place undue reliance upon them. Forward-looking statements are also subject to inherent risks and uncertainties that could cause actual results to differ materially from those expressed. For additional information concerning factors that could cause actual results to differ from those discussed in our forward-looking statements, you should refer to the cautionary statements contained in our press release, as well as the risk factors contained in the company's filings with the Securities and Exchange Commission. With that, I would now like to turn the call over to Ingo, Chief Executive Officer of voxeljet.
Ingo Ederer: Thank you, Johannes, and good morning, everyone. I want to thank everybody for joining us. Today, we will take you through some highlights of 2018 and provide context on how we believe we are well positioned for profitable growth. This year, voxeljet is celebrating its 20th anniversary and we are looking back at the multitude of exciting projects. We basically started in a garage in Munich. Meanwhile, products made with our technology are flying in space. And we are engineering with VJET X a unique additive manufacturing solution for true additive mass production. With direct path from High Speed Sintering, we have successfully expanded our addressable market. In our indirect part segments, we addressed the need of our customers for production-ready solutions and start to commercialize high performance products like VJET X and VJET HSS. In our direct part segment, we have successfully entered the market for direct and functional parts with High Speed Sintering, we built on the knowledge we have accumulated in the development of VJET X and HSS to accelerate the commercialization of large direct part production platform. Turning to Slide 7. Our goal today is the same as it has been 20 years ago. We want to establish a new manufacturing standard. As pioneers in technology, we put high emphasis on relentless research and development with a clear focus in mind to expand our total addressable market through new and improved product and applications. The vision statement we shared throughout the year represents who we strive to be every day and essentially how we operate across all respects of our business as we build this company for the long-term. We successfully raised additional funds in October last year because we believe we are in a unique position and have to accelerate to cease the opportunity we have in front of us and expand our addressable market through new products and applications. We are already assembling the first VJET X units and are working with high priority on the larger HSS platform. The HSS production solution combined with the new materials should be a game changing combination. Looking at Slide 8. This vision translates into a powerful strategy with clear mission statements and core values summarized on Slide 9. We are committed to executing the core pillars of our strategy holding ourselves accountable for performance and investing in our business for long-term growth.  Slide 10 highlights our unique selling propositions, which are strongly aligned with growing trend for higher performance products across all of our end used markets. We differentiate ourselves from competitors by build size, mature diversity and speed. Our printing systems are modular, versatile and highly scalable and therefore uniquely positioned to support critical demanding applications, and address the challenges and needs that are most important to our customers. Looking at Slide 11, and our integrated business model. In our system segment, we manufacture and sell industry grade high-speed large-format 3D printing systems geared towards mass production of complex models, modes and direct parts. In our Services segment, we operate these systems in facilities around the world to offer affordable on demand access to our technology. Slide 12 shows our global sales network and production footprint. As you can see, we have reached and established position in all major markets in Europe, U.S., and as well as China. We continue to expand our sales teams around the world by investing in sales leadership, additional application engineers, and training. To complement this, we focus on educating our channel partners to include full global coverage. On Slide 13, we have summarized the additive manufacturing market as you see it. On Slide 14, we see some of the potential applications of our products and selected customers. Over the last 20 years, we have been working with leading companies from a variety of industry to produce parts that cannot be produced in any other ways with traditional network of manufacturing. In the automotive sector for example, we support the manufacturing of the most complex engine components, like cylinder heads or turbochargers to improve engine and overall vehicle performance. Meanwhile, we are also printing for example battery casings for optimized heating and cooling the electric vehicle. Let’s start with the formal part of the presentation. I will begin with an overview of the fourth quarter 2018 and full-year results, then I will offer a review of our significant accomplishments in 2018, which we believe has positioned the company well for profitable growth. Next, I am going to update you on the status of VJET X and compare our hybrid solution to direct-method printing. Rudi will then provide a more in-depth view of our financials and our outlook the first quarter and full-year 2019. Following his comments, we will be happy to take your questions. Turning to Slide 15. We had a very strong fourth quarter for both financially and strategically, implementing several long-term drivers. Our business continues to perform well, reaching 40% year-over-year growth. We had significant new customer wins both domestically and internationally. In fact, we have sold more printers in this quarter than in the last four quarters combined. In October last year we received the first order for our OEM solution VJET X, industries we filled our machines into during the quarter included each of our primary targets, like automotive, aerospace, and general engineering. We also sold machines to research and educational institutions. Regarding materials, we sold printers operating on advanced materials like ceramic powders, printed ceramic components can provide considerable benefits like freedom of design over conventionally made ceramics and can be used for example as filters, or catalyst carriers in the chemical industry. Many intermediate and end-product in the chemicals industry can only could be produced with the help of catalysts. Furthermore, we found other interesting applications for our materials in highly complex concrete castings. One recent example was the project we did with the ETH in Zurich. The picture of this project can be seen on one of our earlier slides. In addition to that, we shipped several HSS systems for direct part and are currently installing a specifically tailored VX200 at a large multinational company in the US. This MNT operates in an industry it has not been able to address with all our indirect printers. This is really exciting news as it expands our addressable markets considerably.  They are working with high priority on the larger HSS flat production systems, the large production solution with incorporate feedback, we have collected from these 200 customers and will likely be similar in size to VX1000. Backlog for systems increased 23%, compared to last year’s fourth quarter. This is excellent news and in combination with the record number of printers sold in this fourth quarter, very encouraging. To remind you, we define backlog as flow orders for 3D printers. As the recurring revenue portion continues to grow, we are well positioned to enjoy the more predictable growth that recurring revenue will provide us with. Turning to Slide 16. Revenue for the quarter increased 40% to kEUR8.6 million. This is a new record in terms of revenue and so far the best quarter for printer sales. Revenues from our system segment, which includes revenues from selling 3D printers, consumables and spare parts, as well as maintenance increased 67% to kEUR5.2 million in fourth quarter of 2018, from kEUR3.1 million in last year's fourth quarter. We deliver ten new and two refurbished printers, compared to one new and three refurbished printers in last year's fourth quarter. Revenues from our services segment, which focuses on the printing of on-demand costs for our customers increased 12% to kEUR3.3 million in the fourth quarter of 2018 from kEUR2.9 million for the same quarter last year. We truly start to benefit from our global footprint and we see a steady increase in demand for our products all around the world. Gross profit in systems were impacted by a different product mix of systems sold. We sold a higher number of smaller 3D printer, which usually generate lower gross profit margin, compared to our bigger platforms. Gross profit and gross profit margin related to consumable, spare parts and maintenance, slightly improved quarter-over-quarter. Whether we are continuously expanding our IP, because when you have IP, you have the gross margin. And that is precisely the reason why our R&D investments are very important. Gross profits in services were partly impacted by one-time effect like installation of new printer. Remember, we have to fully expand such costs at once, and cannot spread it across the expecting lifetime. Germany contributed higher gross profit margin due to a better utilization rate. Turning to Slide 17, revenues for full-year 2018, increased 12% to kEUR26 million, on [20 feet] or kEUR2 million on 2017. If you break this down, we can see a healthy growth and services revenues of 80%, while revenues from our system segment increased by 6%. Looking at gross profits for the full-year, absolute gross profit was essentially flat, while relative gross profit decreased for the reasons mentioned earlier. Slide 18 summarizes the results. We expect our R&D investments to have a highest return for us. We can develop further that carry gross margins above the company average, and we can diversify with those technologies in a wide variety of applications. We are a technology-led additive manufacturing company, and these investments will continue to strengthen our position as a leader in the global AM industry. Looking at Slide 19 and our product pipeline. The momentum we are driving is grounded in strong product innovation. We are increasing the pace of new concept in bring a new discipline to how we manage the life cycle of our innovation. As mentioned in the beginning, we are a technology company whose mission is to establish a new manufacturing standard. The foundation for our success will always be an inspiring and innovated product. It is how we drive distinction in the marketplace and this is a comparative advantage under any market condition. Well our organic investment remains a primarily engine for growth. We made partner with other industry players in the investments that accelerate our life-cycle value strategy and strengthen our vertical capability, like for example it was the case for VJET X. In October 2018, using more than 20 years of research and expertise in precision mechanics, microfluidics and material science, we have collected the first order for VJET X and will bring binder jetting to a new level. The new solution features a unique next generation printed and reporting unit with incredible speed and extreme overall performance. One of the most important elements in our strategy for growth is increasing our new product revenue, focusing especially on the businesses, where we believe demand is growing and is potentially significant. For fiscal 2019, we project revenue for new products to fuel approximately 35% of systems revenue. For fiscal 2020, we project this number to be around 50%. Looking at Slide 20, and an overview of our indirect and direct printing processes. We are actively building a portfolio of innovations in additive manufacturing that impacts the entire spectrum of our processes. Our goals are ambitious and we have high standard. Our mission is to leverage automation to deliver amazing new products, act more responsively while being more sustainable and cost efficient. And we have had some great success. Turning to Slide 21 and some quick facts on the most important product launched through voxeljet. This picture was taken in our facility in Friedberg. On the right side, highlighted, you can see a test cell of VJET X. This is a special ward cell with restricted access right and we cannot show any details. Here, our partners and we operate and fine tune VJET X in part of the automation equipment for the mass production of our critical engine component.  We are really busy with the assembly of the first VJET X unit and expect to install first unit at the automotive OEM in the next month. To remind you, VJET X features a next generation printer and recording unit for extreme performance. The layer time of this system is more than ten times faster as compared to previous models. The inorganic materials processed with when printing the complex cost are fully environmentally friendly, which means there are no fumes during the subsequent casting. The whole set up is geared for serial production, I am fully convinced there's no way to achieve, even remotely close levels of efficiency in terms of performance and cost, if you try to replicate this output with direct metal printing. Slide 22, summarizes some of the previously disclosed commercial terms of the deal with the German automotive OEM and shows the picture of what such a car can look like. One Slide 23, we have summarized some of the highlights of this year looking at Slide 24, and our expected growth net profitable growth. First, turn emerging markets into the core business with specific product and market strategies and tap the efficiency potential lurking within product cost along the entire value chain. Second, continue to make use of the market opportunities with existing products taking advantage of the volume markets in Europe, North America and Asia. Third, expand our total addressable market through innovative product and service packages. And fourth, drive demand for additive manufacturing solutions for market value and innovation, which we believe will become state-of-the-art manufacturing method and ultimately help us sustain profitable growth. While this this quarter’s success was broad-based and we are pleased with our momentum, we know we have even more opportunities ahead. As we have described before, the key focus that will create separation for us over the long-term is our expertise in IT and binder jetting for additive manufacturing. Ultimately, it is about becoming more productive at the scale. As an outlook, yes, I look forward from where we are. I see a journey with significant upside leveraging the strength of our unique portfolio and unlocking value where it makes sense. I’m highly confident in our ability to execute on this. With that, I would now like to turn the call over to Rudi.
Rudi Franz: Thank you, Ingo. Good morning everyone. We remain committed to increasing our levels of profitability and increasing sales. We are closely managing discretionary expenses on maintaining investments that would drive future profitable growth and I think we are striking the right balance. Our pipeline for potential future printer sales is well filled with sales opportunities in various basis of completion as we continue to work hard to turn these prospects into orders. We put the highest emphasis on managing our sales partner as accurately as possible and I am investing a significant amount of our time into monitoring the progress of our colleague all around the world. That’s another information I collected through our cloud-based SAP system, and we use this information to plan and build our guidance. While we are making significant progress, as you can see by the number of printers, we sold this quarter, systems business is still lumpy and extremely difficult to predict with the highly level of accuracy and on a quarterly basis. I will now take you through the financials in more detail. Turning to Slide 26. Our total revenues increased 40% to kEUR8.6 million in the fourth quarter, compared to kEUR6.1 million in last year’s fourth quarter. This makes the fourth quarter of 2018 the best quarter in terms of revenue since we started 20 years ago, which is a very encouraging development and a great achievement for the organization. Gross profit and gross margin in the quarter were kEUR2.9 million and 33%, compared to kEUR2.6 million and 43% in last year’s fourth quarter. I will explain the reason for this when we look at individual segments. The next slides show our segment reporting for the quarter. In Slide 27, revenues from our systems segment, which includes revenues from selling 3D printers, consumables, and spare parts, as well as maintenance increased 67% to kEUR5.2 million for the fourth quarter of 2018 from kEUR3.1 million in last years fourth quarter. We sold a record of 12 printers in this fourth quarter compared to 4 printers in last year’s same period. Systems revenues represented 61% of total revenues, compared to 52% in last year fourth quarter. Gross profit and gross margin for our segment in the quarter was kEUR1.7 million and 32%, compared to kEUR1.3 million and 42% in last years same period. This decrease was primarily related to the product mix of printers sold in the fourth quarter of 2018. We sold printers of smaller platforms, which usually generate lower gross profit margins, compared to our larger platforms. We project pross margins of above 40% going forward, especially as new products are being launched. In addition to that we are looking at options to assemble some parts of our printers in our new facility in China to decrease production expenses. On Slide 28, services revenue increased 12% to kEUR3.3 million, compared to kEUR2.9 million in last years fourth quarter. Service gross profit decreased to 36% in the fourth quarter of 2018 from 43% in last year’s same quarter. This decrease is mainly due to the expenses associated with the routine replacement of several printers in the fourth quarter of 2018 in our U.S subsidiary. The German service center contributed higher gross profit margin due to higher revenues and better utilization rate. Gross profit contribution from voxeljet UK remain almost unchanged. We do not expect Brexit to have a significant impact on our business as we produce in the UK for the UK. Looking now on the rest of the income statement on Slide 29, SG&A expenses of kEUR3.4 million in the fourth quarter of 2018. This compares to kEUR3.5 million in last year’s fourth quarter. We continue to monitor our operating expenditures carefully, at the same time we are executing with operational discipline and generating leverage from higher revenue growth. Our selling expenses were down while revenues were significantly up as we rationalize our marketing and safe programs and start to generate leverage in this function. The majority of our selling expenses are personal expenses and distribution expenses such as freight, commissions for sales agents. Administrative expenses mainly included personnel expenses, as well as consulting fees, the auditing fees doubled to roughly kEUR1 million as we are no longer an emerging growth company and are in the process of designing, implementing, and operating the control and procedure documents as required by The Sarbanes Oxley Act of 2002. With regard to our manufacturing operations, we continue to deploy lean manufacturing and are taking a hard look at our balance sheet and work on areas such as inventory reduction to improve cash flow and return on investment capital. We remain focused on rationalization. Our cost structure preserving our valuable liquidity and going to keep all of our options open. We will constantly reassess the path and if necessary, make adjustment to ensure that we are achieving the right balance of growth in spending. All of those initiatives will have that instant pay off. We will certainly pay dividend over the long run and we are pleased with the progress we have made so far.  Research and development expenses were kEUR1.56 million in the fourth quarter compared to kEUR1.57 million in the last year’s fourth quarter. I think we highlighted, we continue to invest in co-R&D in Germany with a number of active projects with a clear focus in mind to establish a new manufacturing standard. Operating loss was kEUR2 million in the fourth quarter of 2018, compared to an operating loss of kEUR2.5 million in the comparative period last year. Net loss for the quarter was kEUR0.3 million or [EUR0.06 per ADS], compared to net loss of kEUR2.2 million, or [EUR0.62 per ADS], in the prior year same quarter. We have provided the same presentation for the full-year period ended December 31, 2018 on Slide 30 through 33. Slide 34 shows selected balance sheet items. At December 31, 2018, the company had cash, cash equivalents and short-term investments in bond funds of roughly kEUR20.3 million. Total debt at December 31, 2018 was approximately kEUR17.2 million weighted average number of shares outstanding for the quarter were 3.94 million, which equates to 19.7 million ADS. Current shares outstanding are 4.83 million, which equates to 24.18 million ADS. We believe that our balance sheet positions us well for the long-term. In December 2017, we are proud to have the European investment banker, a strong partner on our side who supports projects to make a significant contribution to growth, employment, regional cohesion and environment sustainability in Europe and beyond, with a special focus on highly innovated company. The EIB, it's the Bank of The European Union, is owned by the 28-member states. The project appraisal itself was carried out by the banks team of engineers, economists, and financial analysts in close corporation with us. Moving now on to Slide 35 and our revenue guidance for the quarter and full-year. Full-year 2019 revenue is expected to be kEUR27 million and kEUR30 million. And gross margin is expected to above 40%. SG&A spending is expected to be in the range of kEUR12 million to kEUR12.5 million; and R&D spending is expected to be between approximately kEUR5.5 million to kEUR6 million. Depreciation and amortization expenses are expected to be between kEUR3.75 million and kEUR4 million. CapEx spending for 2018 is projected to be in the range of kEUR2.0 million to kEUR2.5 million, which primarily consists of ongoing investments in our global subsidiaries. Adjusted EBITDA, which excludes the impact of foreign exchange valuation is expected to be neutral to positive for the second half of 2019. Revenue for the first quarter of 2019 is expected to be in the range of kEUR5 million and kEUR5.5 million. Slide 36 summarizes our projected long-term operating model. This concludes my remarks, and with this I will now open the call up for your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question is from Troy Jensen with Piper Jaffray. Please proceed.
Allan Verkhovski: Hi guys. This is Allan Verkhovski on for Troy Jensen. Can you guys talk about how…
Ingo Ederer: Hi, good morning.
Allan Verkhovski: Good morning. Can you guys talk about how the partnership with the large European automotive company is going?
Ingo Ederer: Hi, this is Ingo. So, the project is performing well according to the plan. Currently, as I said in the call, we are currently assembling the first units for delivery in the upcoming months. So far everything is on track and we hopefully see successful implementation of the systems by the end of the year.
Allan Verkhovski: Great. And just speaking in terms of targets, is the larger format printer for HSS still on target for release to be in November, late 2019 this year?
Ingo Ederer: There is still the plan to show this machine in a first prototype version on a major show here in Europe this year.
Allan Verkhovski: And lastly, just, my last question will be, if you guys have any observations or any new material things that you have been picking up around the competitive environment?
Ingo Ederer: Well, you know, we have full pipeline of R&D projects of the concerning materials, new materials. Not everything we are currently investigating is ready for the public, but be sure that we have very interesting things in the pocket, which we will release shortly.
Allan Verkhovski: Okay. Thank you very much.
Ingo Ederer: You’re welcome.
Rudi Franz: Thank you. Bye, bye.
Operator: [Operator Instructions] There are no more questions. I would like to turn the conference back over to management for closing remarks.
Ingo Ederer: Thank you. So, wrapping things up here. I’m excited about both our progress and our prospects at voxeljet. Our mission is to establish a new manufacturing standard. We are thrilled with our momentum for the launch of VJET X. We remain on the offensive identifying and attacking of the changes to evaluate our game and build on our momentum with new product launches and include that we deliver sustainable profitable, capital efficient growth over the long-term. In some of our segments, we are facing new or resurgent competitors. In other segments, we are the new competitor, but in our cases, competition will bring out the very best in our company. Our investments in pipeline of innovation positions us to lead for the years to come. Thank you for joining today’s call, and we look forward to seeing you at the RAPID Show in May and to speaking with you again next quarter. Thank you.
Rudi Franz: Thank you. Bye, bye.
Operator: This concludes today’s conference you may disconnect your lines at this time and thank you for your participation.